Operator: Good morning. My name is Kevin and I will be your conference operator today. At this time, I would like to welcome everyone to the United Fire Group 2015 First Quarter Financial Results Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now pleasure to introduce your host Anita Novak, Director of Investor Relations. Please go ahead, Ms. Novak.
Anita Novak: Good morning, everyone and thank you for joining this call. Earlier today, we issued a news release on our results. To find a copy of this document, please visit our Web site at www.unitedfiregroup.com. Press releases and slides are located under the Investor Relations tab. Our speakers today are Randy Ramlo, President and Chief Executive Officer; Michael Wilkins, Executive Vice President and Chief Operating Officer; and Kevin Helbing, Interim Principal Financial Officer, Assistant Vice President and Controller. Other members of our executive team are also available for the question-and-answer session that will follow our prepared remarks. Please note that our presentation today may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. The company cautions investors that any forward-looking statements include risks and uncertainties and are not a guarantee of future performance. These forward-looking statements are based on management's current expectations and we assume no obligation to update them. The actual results may differ materially due to a variety of factors, which are described in our press release and SEC filings. Please also note that in our discussion today, we may use some non-GAAP financial measures. Reconciliations of these measures to the most comparable GAAP measures are also available in our press release and SEC filings. At this time, I'm pleased to present Mr. Randy Ramlo, President and Chief Executive Officer at United Fire Group.
Randy Ramlo: Thank you, Anita. Good morning, everyone and welcome to United Fire's 2015 first quarter conference call. I'm very pleased to report that 2015 is off to a strong start. Earlier this morning, we reported operating income of $0.92 per share and a GAAP combined ratio of 89.7% for the quarter. Our book value was $33.76 per share and our return on equity was 11.4%. Not every quarter will be a strong due to the nature of our business and the volatility of claims experience from the quarter-to-quarter, but is the level of performance we seek. Strong quarterly performance like this will come to offset those quarters when the wind blows. During the first quarter, we continued to benefit from modest rate increases a lack of catastrophic events, favorable claim activity and favorable reserve development on our prior accident year claims. With the Mercer Insurance integration for all practical purposes behind us, our primary objective remains organic growth in alignment with our 2020 vision. We believe that with a disciplined approach we will achieve our expected underwriting results and expansion. Our organic growth initiatives include adding additional producers, expanding our geographic reach, enhancing our product offering and appropriately pricing our existing products. Key initiatives such as our addition of our specialty division and expansion of our program business have also contributed to our organic growth. We have grown in the past through M&A activity and that has expanded our footprint. However, we believe commitment to our operational initiatives as previously indicated is the appropriate path towards achieving our desired growth. However, if the right deal came along, we would certainly consider it. But to be clear, our focus is on organic growth. In future quarters, we will do our best to keep you abreast of our progress. Speaking of future quarters, this seems like a good time to introduce our newest member of our executive team. Dawn Jaffray is with us this morning and is eager to assume her role as our new CFO in a few weeks. In the meantime, Dawn will continue to acclimate herself to United Fire's business and culture. I believe with her background, Dawn can be an important contributor to our strategic and organic growth objectives supporting our 2020 vision. With that this morning, I will turn it over to Mike Wilkins, our Chief Operating Officer.
Mike Wilkins: Thanks, Randy, and good morning, everyone. Competitive market conditions during the quarter persisted on both renewals and on new business. Commercial lines renewal pricing varied by region with average percentage increases in the mid-low single digits on most small and mid-market accounts. Larger accounts remain more competitive with only small increases obtainable. This is the 14th consecutive quarter of commercial lines pricing increases. Personal auto renewal pricing increases during the quarter remained modest and in the low single digits. The home owners pricing experienced average percentage increases in the mid-single digits during the quarter. Overall, personal lines renewal pricing decreased slightly during the – excuse me, increased slightly during the first quarter. Premium written from new business remain strong up from the prior quarter but down slightly when compared to the same quarter a year ago. This does not surprise us giving the exceptionally large volume of new business written in the first quarter of 2014. Our success ratio on quoted accounts decreased slightly, but remained strong, new business discretionary pricing was unchanged. Current rate increases continue to meet or exceed lost cost trends depending on the line of business. We continue to believe lost cost trends will remain at low levels in 2015, but the gap between lost cost and rate increases will narrow as 2015 progresses. Policy retention remains strong at 82% decreasing slightly from the prior quarter for the group and most regions. Premium retention was down only slightly from the previous quarter and remained strong at 86%. Policies in force were down slightly in personal lines and workers compensation but up in all other lines. New policies written or sufficient to offset policies lost are non-renewed. The U.S. economy continues to grow at a slow rate, premium from endorsements and premium audit continued positive trends up from the same quarter a year ago. During the first quarter, premiums written increased 10.1% about half of that amount is attributable to rate change endorsements and audits, the other half is attributable to net new business. Our expectation for 2015 continues to be premium rate increases in the mid-single digit range at the beginning of the year that tapering to low single digits by the end of the year. First quarter was a benign catastrophe loss quarter with losses of approximately $200,000 compared to $3 million in the first quarter of 2014. These losses had almost no impact on the combined ratio for first quarter. Large losses which we defined as losses greater than $500,000 totaled $22 million in the first quarter and impacted the combined ratio by approximately 11 percentage points. This compares to $23 million in the first quarter of 2014 which impacted the combined ratio by 13 percentage points. First quarter 2015 large losses is within our expectations which means we are not seeing a continuation of the large loss trend we experienced in 2014 particularly in the third quarter of 2014. Sales of our single premium whole life polices lagged due to our efforts to maintain price diligence on our single premium whole life product. Enhancements for our single premium whole life product are near completion. Universal life first year policy premiums and traditional life policy premiums other than single premium whole life increased during the quarter. Deferred annuity deposits decreased 31.8% for the quarter due to a gradual lowering of credited rate offered on our deferred annuity products during the low interest environment, which has resulted in a decrease in deferred annuity to deposits for the quarter compared to the first quarter of 2014. Losses and loss settlement expenses increased $500,000 for the year due to corresponding increases in death benefits paid. Fluctuations in the timing of death benefits occurs from quarter-to-quarter and year-to-year. Interest credit decreased $1.4 million for the year due to net annuity withdrawals decreasing on the base which interest is paid along with periodic reductions in the interest rate credited on annuity products throughout 2014 and continuing into 2015. Net income for the life insurance segment declined significantly for the quarter compared to the same quarter in 2014. With that, I will turn the financial discussion over to Kevin Helbing.
Kevin Helbing: Thanks Mike. Consolidated debt income including net realized investment gains and losses was $23.7 million or $0.94 per share for the quarter compared to $13.3 million or $0.52 per share last year. Losses and loss settlement expenses increased by $1.2 million or less than 1% during the first quarter compared to the quarter a year ago. As Mike indicated pretax catastrophe losses for the quarter totaled $200,000 or less than a $0.01 per share after-tax compared to $3.3 million or $0.08 per share after-tax last year. The losses had nearly no effect on our combined ratio for the quarter. Our expectation for catastrophe losses in any given year is 6 percentage points on the combined ratio. It's important to note, however, that our book of our business remains primarily in regions of the country that are susceptible to seasonal weather events such as winter and spring connective storms. Which will likely result in volatility in our results from quarter-to-quarter especially during the second and third quarters. As the company, we don't get too excited about volatility since our final analysis is based on annual results. Favorable reserve development for the first quarter was $16.7 million compared to $14.5 million in the first quarter of 2014. The positive impact on net income for the quarter was $0.43 per share compared to $0.37 per share in 2014. As we have stated on many occasions, reserve development will vary from quarter-to-quarter and year-to-year due to the number of claims settled and the settlement terms. During the first quarter, the increase in favorable reserve development is attributable to the timing of paid claims. The largest single contributor was workers compensation with $5.8 million of favorable reserve development followed by a long-tail liability with $4.9 million. Commercial auto contributed $3 million of favorable reserve development and auto physical damage contributed $2.3 million. The majority of our releases were from accident years 2011 to 2014. I will remind our audience that we have historically reserved on a conservative basis and continue to do so. At March 31, 2015, our total reserves remain relatively flat and within our actuarial estimates. Consolidated net investment income was $24.4 million for the first quarter, which was a decrease of 9% as compared to $26.8 million in the first quarter of 2014. The decreases are due to the decline in reinvestment interest rates from the continued low investment rate environment and changes in the value of our investments in limited liability partnerships and/or recorded on the equity method of accounting. Because of the equity method of accounting is based on changing market conditions, results can be volatile from period-to-period. We continue to feel the impact of lower investment yields on the majority of our investment portfolio and we expect a continuation of low interest rates as 2015 progresses. The weighted average effective duration of our fixed maturity portfolio at March 31, 2015 was 4.4 years. Our overall portfolio yield was 3.2%. Consolidated net realized investment gains for the quarter were $0.9 million compared to net realized investment gains of $2.2 million in 2014. Consolidated net realized investment gains net of tax totaled $156.9 million as of March 31, 2015, which is an increase of $7.3 million or 4.9% from December 31, 2014. The majority of the increase in net realized – unrealized gains is a result of an increase in the fair value of the fixed maturity investment portfolio due to interest rate declines at March 31, 2015. The expense ratio for the quarter was 30.1 percentage points compared to 33.5 percentage points for the first quarter of 2014. The expense ratio continues to improve. As we indicated in our earnings release this morning, we are now seeing improvement from reduced expenses associated with the Mercer Insurance integration along with investments in core development and technology over the last few years. I would like to caution the audience that we do expect the 2015 expense ratio to be somewhat impacted by pension and post retirement benefit costs as the year progresses. Our stockholders equity increased 3.3% to $844.2 million at March 31, 2015 from $817.4 million at December 31, 2014. The increase was primarily attributable to net income of $23.7 million and an increase to net unrealized investment gains of $7.3 million net of tax. These increases were offset by shareholder dividends to $5 million and share repurchases of $1.1 million. At March 31, 2015, the book value per share of our common stock was $33.76 compared to $32.67 at December 31, 2014. During the first quarter, we declared and paid $0.20 per share cash dividend to shareholders of record on March 1, 2015. In addition, during the first quarter, we repurchased 37,637 shares of United Fire common shares at an average price of $28.78. As a reminder, under our current share repurchase program, we may purchase United Fire's common stock on the open market or through privately negotiated transactions. The amount and timing of any purchases will be management's discretion and depend on number of factors including share price, general economic conditions and market conditions and corporate and regulatory requirements. We are authorized by the Board of Directors to purchase an additional 1.6 million shares of common stock under the new program which expires August 31, 2016. With that, I will open the lines for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Paul Newsome from Sandler O'Neill. Please proceed with your question.
Paul Newsome: Good morning. Congratulations on the quarter.
Randy Ramlo: Thanks Paul.
Paul Newsome: I wanted to ask about expense ratio guidance in – obviously, you are down at both – but you mentioned that pension could hurt on the revenues of the year. My understanding is, is the pension expense essentially gets set at the beginning of each year and should be largely unchanged quarter-to-quarter, am I wrong in that?
Randy Ramlo: You are correct, Paul. Our impact over the course of the year will be $7 million gross of tax.
Paul Newsome: Okay.
Randy Ramlo: We have a good favorable quarter in relation to our losses and with the GAAP results we had a great quarter with less premium deficiency in our [debt] [ph] calculation.
Paul Newsome: So should there be, I mean this is a good run rate for the expense ratio perspectively?
Randy Ramlo: We expect it would be close to 31% for the year. We just had a really good quarter.
Paul Newsome: Okay. Terrific. And the – maybe you can talk a little bit about the combined ratio excluding reserves and catastrophe losses and how that – whether or not that's a good run rate for the remainder of the year as well?
Randy Ramlo: Mike will take that one, Paul.
Mike Wilkins: Good morning, Paul. How are you?
Paul Newsome: I'm very good. Thank you.
Mike Wilkins: I think the run rate we hope to do a little better than that during the year. We in the first quarter had some IBNR adjustments based on actuarial calculations that impacted particularly our commercial auto line of business. But, if you look at the direct numbers, they improve quite bit from a year ago, so we are encouraged by that and optimistic going forward.
Paul Newsome: Well, I will requeue, see if there is anybody else who wants to ask a question.
Operator: Thank you. [Operator Instructions] Our next question is coming from Joab Dempsey from KBW. Please proceed with your question.
Joab Dempsey: Hi. Good morning, everyone, and thanks for taking my questions, since [indiscernible] you could have wound the call today. But, just had a couple of questions. The first is on the core loss ratio with non-existing cats this quarter. Are there any considerations that should be made for elevated into weathered losses that sell into the core loss ratio for the quarter?
Mike Wilkins: This is Mike, again. There is probably some of that in the core loss ratio particularly from the East Coast with some winter storm activity out there, some freeze losses and that type of thing, I don't get captured in the cat loss numbers. We don't quantify that or have that number available, but I'm sure it had an impact.
Joab Dempsey: Okay. Great. And then, the second is around workers comp, we have seen workers comp claim ratio fall a little bit each in the last three years, so I'm curious if you know attribute this to some of the workers comp initiative, or if there is something going on from say a mix or an actual settlement speed issue that could account for the numbers?
Mike Wilkins: Yes. Mike, again, here. The improvement we think is a result of our initiatives. We work very hard on that line of business over the last couple of years in particular trying to reduce the high-hazard classes that's in that book. And target lower hazard classes make sure the pricing was appropriate in the higher hazard book of business. And the second part of your question, Chief Claims Officer is here, I will let Dave take a shot at that.
Dave Connor: Hi. This is Dave Connor. That timing correspondence directly with our consolidation of the work comp unit at the corporate headquarters here and what was not an insignificant upgrade in our operations. So I think from both angles you are recognizing that improvement.
Joab Dempsey: Yes. We can certainly see that improvement coming. So if we can maybe stick with workers comp for a second, did the maturation of any of these initiatives drive any additional reserve releases this quarter?
Randy Ramlo: No. I don't think so.
Joab Dempsey: Okay. Okay. And then just – this is my last question within commercial auto, what's the industry has been seeing and I was hoping to get maybe an update from what you are seeing between lost cost trends and rate increases with the slight up tick on the lost ratio this quarter?
Mike Wilkins: Yes. That's the line we are paying close attention to. We are able to get still solid rate increases in that line particularly if it's an auto driven line. If it's just a small part of the package, the auto – maybe the increases aren't quite there. But, if it's an auto driven line, we are getting good mid to upper single digit increases on the auto. Joab, I guess it's a line where we are keeping close eye on. We have seen a couple of point deterioration here in the first quarter on a direct basis to. And then also on the IBNR side, we strengthened a little bit.
Joab Dempsey: Okay. Great. That's all I had. And thanks again for taking my questions [indiscernible] best of luck guys.
Randy Ramlo: Thank you.
Operator: Thank you. [Operator Instructions] Our next question is a follow-up from Paul Newsome from Sandler O'Neill. Please proceed with your question.
Paul Newsome: I have to ask about the life operation and the prospects there?
Randy Ramlo: Well, we – as you know, this is Randy. We have had this conversation a couple of times but the annuity businesses is really difficult right now. And so our annuity deposits as you can see are down quite a bit that affected our net investment income. And we don't like to see the annuity deposits leave, but unfortunately the only way to stop that is to offer higher rates. And we don't really want to do that either or materially change the way we invest that book of business. So we are kind of de-emphasizing the annuity business and trying to push the life business which is more profitable and we think this is a cyclical thing. If you kind of look back at a 15-year look at our life business, there has some been terrific years, but unfortunately the last four or five have been pretty difficult.
Paul Newsome: Fantastic. Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to now turn the floor back over to Ms. Novak.
Anita Novak: Thank you, Kevin. This now concludes our conference call. As a reminder, a transcript of this call will be available on our company Web site at www.unitedfiregroup.com. On behalf of the management of United Fire Group, I wish all of you a very pleasant day.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time. And have a wonderful day. We thank you for your participation today.